Operator: Good day, and welcome to the Monster Beverage Company First Quarter 2024 Conference Call. [Operator Instructions] Please note this event is being recorded. I would like now to turn the conference over to CEO, Rodney Sacks and Hilton Schlosberg. Please go ahead. 
Rodney Sacks: Thank you. Good afternoon, ladies and gentlemen. Thank you for attending this call. I'm Rodney Sacks. Hilton Schlosberg, our Vice Chairman and Co-Chief Executive Officer, is on the call; as is Tom Kelly, our Chief Financial Officer. Tom Kelly will now read our cautionary statement. 
Thomas Kelly: Before we begin, I would like to remind listeners that certain statements made during this call may constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended and are based on currently available information regarding the expectations of management with respect to revenues, profitability, future business, future events, financial performance and trends. Management cautions that these statements are based on our current knowledge and expectations and are subject to certain risks and uncertainties, many of which are outside the control of the company that may cause actual results to differ materially from the forward-looking statements made during this call. 
 Please refer to our filings with the Securities and Exchange Commission including our most recent annual report on Form 10-K filed on February 29, 2024, including the sections contained therein entitled Risk Factors and Forward-Looking Statements for a discussion on specific risks and uncertainties that may affect our performance. The company assumes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise.  
 I would now like to hand the call over to Rodney Sacks. 
Rodney Sacks: Thank you, Tom. The company achieved record first quarter net sales of $1.9 billion in the 2024 first quarter, 11.8% higher than net sales of $1.7 billion in the 2023 comparable period and 15.6% higher on a foreign currency adjusted basis, 12.6% exclusive of Argentina's impact. 
 Gross profit as a percentage of net sales for the 2024 first quarter was 54.1%, compared with 52.8% in the comparative 2023 first quarter. The increase in gross profit as a percentage of net sales for the 2024 first quarter as compared to the 2023 first quarter was primarily the result of decreased freight-in costs, pricing actions in certain markets and lower input costs, partially offset by geographical sales mix.  
 Operating expenses for the 2024 first quarter were $485.1 million compared with $412.8 million in the 2023 first quarter. As a percentage of net sales, operating expenses for the 2024 first quarter were 25.5%, compared with 24.3% in the 2023 first quarter. The increase in operating expenses was primarily the result of increased storage and warehouse, increased marketing expenses, increased sponsorship and endorsement and social media expenses as well as increased payroll expenses. 
 Distribution expenses for the 2024 first quarter were $94.4 million, or 5% of net sales compared to $76.3 million or 4.5% of net sales in the 2023 first quarter.  
 Operating income for the 2024 first quarter increased 11.7% to $542 million from $485.1 million in the 2023 comparative quarter. The effective tax rate for the 2024 first quarter was 23.5%, compared with 20.1% in the 2023 first quarter. The increase in the effective tax rate was primarily attributable to a decrease in the stock-based compensation deduction in the 2024 first quarter as compared to the 2023 first quarter.  
 Net income increased 11.2% to $442 million as compared to $397.4 million in the 2023 comparable quarter. Diluted earnings per share for the 2024 first quarter increased 12% to $0.42 from $0.38 in the first quarter of 2023. 
 The company implemented price increases in the first quarter of 2024 in certain international markets, including highly inflationary markets. We are continuing to monitor opportunities for further pricing actions in both the United States and internationally. The company continues to have market share leadership in the energy drink category for all outlets combined in the United States in both the 13-week and 4-week periods ended April 20, 2024. 
 According to the Nielsen report for the 13 weeks through April 20, 2024, for all outlets combined, namely convenience, grocery, drug, mass merchandisers, sales in dollars in the energy drink category, including energy shots, increased by 3.8% versus the same period a year ago. Sales of the company's energy brands, excluding Bang, were up 0.1% in the 13-week period. Sales of Monster declined 1.4%, sales of Reign were up 16.1%, Sales of NOS increased 4.9% and sales of Full Throttle increased 1.7%. Sales of Red Bull increased 3.6%. 
 According to Nielsen, for the 4 weeks ended April 20, 2024, sales in dollars in the energy drink category in the convenience and gas channel, including energy shots in dollars, increased 1% over the same period the previous year. Sales of the company's energy brands, excluding Bang, decreased 2.1% in the 4-week period in the convenience and gas channel. Sales of Monster decreased by 3.3% over the same period versus the previous year. Reign sales increased 5.3%, NOS was up 4.5% and Full Throttle was down 0.6%. Sales of Red Bull were up 2.1%. 
 According to Nielsen,  for the 4 weeks ended April 20, 2024, the company's market share of the energy drink category in the convenience and gas channel, including energy shots in dollars, decreased from 36.8% to 35.7% and excluding Bang. Including Bang, the company's market share is 37.3%. Monster share decreased from 30.6% a year ago to 29.3%. Reign's share increased 0.1 of a share point to 3.1%. NOS' share increased 0.1 of a share point to 2.6% and Full Throttle share remained at 0.7%. Bang share was 1.6%. Red Bull share increased 0.4 of a share point to 34.6%. Market share of certain competitors were as follows: CELSIUS 8.5%, C4 3.7%, 5-Hour 3.3%; Rockstar 3% and GHOST 3%. 
 According to Nielsen, for the 4 weeks ended April 20, 2024, sales in dollars in the coffee plus energy drink category, which includes our Java Monster line, in the convenience and gas channel decreased 10.7% over the same period the previous year. Sales of Java Monster, including Java Monster 300 and Java Monster Nitro Cold Brew were 3.6% lower in the same period versus the previous year. Sales of Starbucks Energy were 19.5% lower. Java Monster share of the coffee plus energy drink category for the 4 weeks ended April 20, 2024, was 59.5%, up 4.4 points, while Starbucks Energy share was down 40.1% -- down to 40.1%, down 4.4 points. 
 According to Nielsen, in all measured channels in Canada, for the 12 weeks ended March 23, 2024, the energy drink category increased 10.2% in dollars. Sales of the company's energy drink brands increased 2.9% versus a year ago. The market share of the company's energy drink brands decreased 2.8 points to 40.3%. Monster sales increased 4.2% and its market share decreased 2.1 points to 36.5%. NOS' sales decreased 6.9% and its market share decreased 0.2 points to 1.1%. Full Throttle sales increased 22.2% and its market share remained at 0.5%. 
 According to Nielsen, for all outlets combined in Mexico, the energy drink category increased 23.1% for the month of March 2024. Monster sales increased 20.2%. Monster's market share in value decreased 0.7 of a point to 29.3% against the comparable period the previous year. Sales of Predator increased 28.6% and its market share increased 0.2 share points to 5.9%. The Nielsen statistics for Mexico cover a single month, which is a short period that may often be materially influenced positively and/or negatively by sales in the OXXO convenience chain, which dominates the market. Sales in the OXXO convenience chain in turn can be materially influenced by promotions that may be undertaken in that chain by one or more energy drink brands during a particular month. Consequently, such activities could have a significant impact on the monthly Nielsen statistics for Mexico.  
 According to Nielsen, for all outlets combined,  in Brazil, the energy drink category increased 15.7% for the month of March 2024. Monster sales increased 26.7%. Monster's market share in value increased 4.2 points to 48.1% compared to March 2023. In Argentina, due in part to the impact of inflation-related local currency price increases, the energy drink category increased 265.9% for the month of March 2024. Monster sales increased 300.2%. The Monster's market share in value increased 5 points to 58.5% compared to March 2023.  
 In Chile, the energy drink category decreased 8.4% for the month of March 2024. Monster sales decreased 7.8%. Monster's market share in value increased 0.3 points to 42.9%. Monster Energy remains the leading energy brand in value in Argentina, Brazil and Chile. 
 I would like to point out that the Nielsen numbers in EMEA should only be used as a guide because the channels read by Nielsen in EMEA vary from country to country and are reported on varying dates within the month referred to from country to country. 
 According to Nielsen, in the 13-week period until the end of March 2024, Monster's retail market share in value as compared to the same period the previous year grew from 15.5% to 16.2% in Belgium; from 32.8% to 34.2% in France; from 30.8% to 33.1% in Great Britain; from 4.7% to 6.6% in the Netherlands; from 28.3% to 30.3% in the Republic of Ireland; and from 39.9% to 41.3% in Spain. 
 According to Nielsen, in the 13-week period until the end of March 2024, Monster's retail market share in value as compared to the same period the previous year declined from 34.6% to 32.8% in Norway; from 19.5% to 19% in South Africa; and from 17.9% to 14.7% in Sweden. According to Nielsen, in the 13-week period until the end of February 2024, Monster's retail market share in value as compared to the same period the previous year, grew from 20.4% to 22.6% in the Czech Republic; from 29.3% to 29.9% in Italy; and from 15.9% to 17.2% in Germany.  
 According to Nielsen, in the 13-week period until the end of February 2024, Monster's retail market share in value as compared to the same period in the previous year, remained flat at 18.9% in Poland. Monster's retail market share in value as compared to the same period the previous year declined from 27.6% to 26.7% in Denmark, and from 36.6% to 34.9% in Greece. 
 According to Nielsen, in the 13-week period until the end of February 2024, Predator's retail market share in value as compared to the same period the previous year, grew from 31.9% to 34.3% in Kenya and from 19.5% to 20.8% in Nigeria. According to IRI, for all outlets combined in Australia, the energy drink category increased 9.5% for the 4 weeks ending April 7, 2024. Monster sales increased 27.5%. Monster's market share in value increased 2.9 points to 20.3% against the comparable period the previous year. Sales of Mother increased 8% and its market share decreased 0.1 of a share point to 11.1%. According to IRI for all outlets combined in New Zealand, the energy drink category increased 5.2% for the 4 weeks ending April 7, 2024. Monster sales decreased 0.5%. Monster's market share in value decreased 0.8 of a share point to 14.4% against the comparable period the previous year. Sales of Mother increased 36.2% and its market share increased 1.5 share points to 6.6%. Sales of Live+ decreased 8.8% and its market share decreased 0.8 of a share point to 5.3%.  
 According to INTAGE, in the convenience channel in Japan, the energy drink category decreased 7.5% for the month of March 2024. Monster sales increased 4.4%. Monster's market share in value increased 6.8 points to 59.5% against the comparable period the previous year. According to Nielsen, all outlets combined in South Korea, the energy drink category increased 11.5% for the month of March 2024. Monster sales increased 1.1%. Monster's market share in value decreased 5.3 points to 51.4% against the comparable period the previous year. We again point out that certain market statistics that cover single months or 4-week periods may often be materially influenced, positively and/or negatively by promotions or other trading factors during those periods.  
 Net sales to customers outside the U.S. were $744.1 million, 39.2% of total net sales in the 2024 first quarter compared to $622.9 million or 36.7% of total net sales in the corresponding quarter in 2023. Foreign currency exchange rates had a negative impact on net sales in U.S. dollars by approximately $64.4 million in the 2024 first quarter, of which $50.4 million related to Argentina. 
 In EMEA, net sales for the 2024 first quarter increased 28.2% in dollars and increased 32% on a currency-neutral basis over the same period in 2023. Gross profit in this region as a percentage of net sales for the 2024 first quarter was 34% compared to 30.7% in the same quarter in 2023. We executed a strategic initiative across EMEA in the first quarter with the launch of Monster Energy Sugar in 27 markets. We are also pleased that in the 2024 first quarter, Monster gained market share in Belgium, Czech Republic France, Germany, Great Britain, Italy, the Netherlands, Norway, the Republic of Ireland and Spain -- sorry, Monster Zero Sugar. 
 In Asia Pacific, net sales in the 2024 first quarter were flat in dollars and increased 6% on a currency-neutral basis over the same period in 2023. Gross profit in this region as a percentage of net sales for the 2024 first quarter was 42.6% versus 44.4% in the same period in 2023. Net sales in Japan in the 2024 first quarter decreased 2.8% in dollars and increased 7.4% on a currency-neutral basis. In South Korea, net sales in the 2024 first quarter increased 1.2% in dollars and increased 4.3% on a currency-neutral basis as compared to the same quarter in 2023. Monster remains the market leader in Japan and South Korea. In China, net sales in the 2024 first quarter increased 16.4% in dollars and increased 21.2% on a currency-neutral basis as compared to the same quarter in 2023. We remain optimistic about the long-term prospects for the Monster brand in China and are excited about the launch of Predator this year.  
 In Oceana, which includes Australia, New Zealand, Tahiti, French Polynesia, New Caledonia, Papua New Guinea and Guam, net sales decreased 7.1% in dollars and decreased 3.6% on a currency-neutral basis. 
 In Latin America, including Mexico and the Caribbean, net sales in the 2024 first quarter increased 14.7% in dollars and increased 46.2% on a currency-neutral basis over the same period in 2023, 10.9% exclusive of Argentina's impact. Gross profit in this region as a percentage of net sales was 42.8% for the 2024 first quarter versus 33% in the 2023 first quarter. In Brazil, net sales in the 2024 first quarter increased 32.2% in dollars and increased 25.6% on a currency-neutral basis. Net sales in Mexico increased 32.9% in dollars and increased 19.6% on a currency-neutral basis in the 2024 first quarter. Net sales in Chile decreased 16.3% in dollars and decreased 8.9% on a currency-neutral basis in the 2024 first quarter. 
 And net sales in Argentina decreased 14.3% in dollars and increased 251.3% on a currency-neutral basis in the 2024 first quarter. We continued with the expanded distribution of the Beast Unleased during the first quarter of 2024, which is now available in 49 states through a network of beer distributors and will be in all 50 states by the end of summer. We have commenced with the rollout of the Beast Unleashed in 24-ounce single-serve cans and are seeing early success while maintaining the base of 16-ounce single-serve cans that were launched last year. We are pleased with the results of the Beast Unleashed and are continuing to expand points of distribution of this brand. 
 Nasty Beast, our new Hard Tea line was launched in 12-ounce variety packs in January 2024, and  in 24-ounce single-serve cans in February 2024 and is now available in 49 states. Early response to the brand has been positive, and we are continuing to focus heavily on expansion of distribution.  
 In the United States in January, we launched Reign Storm, Guava Strawberry and Citrus Zest. In February, we launched Monster Rehab Green Tea, Reignbow Sherbet, Sour Gummy Worm, Monster Juice Rio Punch, Monster Reserve Peaches N’ Crème, Monster Java Irish Crème and Monster Energy Ultra Fantasy Ruby Red, and in the latter product, both in a 16-ounce and 12-ounce package. 
 In March, we launched Reign Storm Strawberry Apricot and Mango. In addition to these launches, we continue to innovate in our multipack variety pack offerings. In Canada, during the first quarter, we launched Monster Energy Ultra Strawberry Dreams, Reign Total Body Fuel Cherry Limeade, Monster Reserve Orange Dreamsicle and Monster Rehab Wild Berry Tea. In Mexico, during the month of January, we launched Monster Energy Zero Sugar and Predator Tropical.  
 In Brazil and Puerto Rico during the month of February, we launched our Monster Energy Zero Sugar. In Oceana, during the first quarter of 2024, we launched 2 new innovations within Australia. In February, we launched Monster Energy Ultra Strawberry Dreams and Monster Energy Zero Sugar. In EMEA, in the first quarter of 2024, we launched Monster Juiced Monarch, Nitro Cosmic Peach, Reserve Orange Dreamsicle and Ultra Peachy Keen in a number of countries. Additional launches are planned throughout EMEA in 2024.  
 During the first quarter of 2024, we launched Monster Ultra Violet in Japan, Monster Ultra Peachy Keen in Korea, Taiwan and Hong Kong, and Monster Pipeline Punch in China. 
 During the quarter, we also introduced Predator Gold Strike in the Philippines and Azerbaijan. Last month, we launched a noncarbonated Predator Gold Strike in a 500 ml PET bottle in selected provinces in China. Initial acceptance from retailers and consumers has been positive. 
 During the 2024 first quarter, the company purchased approximately 1.8 million shares of its common stock at an average purchase price of $54.96 per share, for a total amount of $97.2 million, excluding broker commissions. As of May 2, 2024, approximately $642.4 million remained available for repurchase under the previously authorized repurchase programs. 
 The company intends to commence a modified Dutch Auction tender offer for up to $3 billion in value of shares of its common stock, subject to market conditions at a specified price range that is yet to be determined. The company believes that the tender offer represents an efficient mechanism to permit shareholders the opportunity to obtain liquidity without the potential disruption that can result from market sales. 
 The Company expects to fund the tender offer with approximately $2 billion of cash on hand and approximately $1 billion in combined borrowings, consisting of a new revolving credit facility and a new delayed draw term loan facility, each expected to be consummated prior to the completion of the tender offer. The tender offer will be made outside of the Company's previously authorized repurchase programs and will allow the Company to retain the ability to purchase additional shares through the previously authorized repurchase programs in the future. The Company's co-CEOs, namely Hilton and myself, have indicated that we intend to participate in the offer for investment diversification and estate planning purposes. My participation in particular, may provide me some flexibility to consider my own potential options, which may also help the Company continue succession planning for its next phase of leadership. 
 In this regard, after consultation with the Company's Board, I am considering reducing my day-to-day management responsibilities starting in 2025, while continuing to manage certain areas of the Company's business for which I have always been responsible. At that time, I intend to remain Chairman of the company's Board and Mr. Schlosberg would segue from Co-CEO to CEO.  
 We estimate that on a foreign currency adjusted basis, including the alcohol brand segment, April 2024 sales were approximately 12.9% higher than the comparable April 2023 sales and 14.9% higher than April 2023, excluding the alcohol brands segment. 
 Excluding Argentina's impact, we estimate that on a foreign currency adjusted basis, including the alcohol brand segment, April 2024 sales were approximately 11.5% higher than the comparable April sales and 13.5% higher than April 2023, excluding the alcohol brand segment. We estimate April 2024 sales, including the alcohol brands segment to be approximately 10% higher than in April 2023 and 11.9% higher than in April 2023, excluding the alcohol brand segment. April 2024, we had 2 more selling days compared to April 2023. 
 In this regard, we caution again that sales over a short period are often disproportionately impacted by various factors such as, for example, selling days, days of the week in which holidays fall, timing of new product launches and the timing of price increases and promotions in retail stores, distributor incentives as well as shifts in the timing of production. 
 In some instances, our bottlers are responsible for production and determine their own production schedules. This affects the dates on which we invoice such bottlers. Furthermore, our bottling and distribution partners maintained inventory levels according to their own internal requirements which they may alter from time to time for their own business reasons. We reiterate that sales over a short period such as a single month should not necessarily be imputed to or regarded as indicative of results for a full quarter or any future period.  
 In conclusion, I would like to summarize some recent positive points. The energy category continues to grow globally. We are pleased to report that our pricing actions have not significantly impacted consumer demand. Our AFF flavor facility in Ireland is now providing a larger number of flavors to our EMEA region, enabling better service levels and lower landed costs to our EMEA region. We are in the process of constructing a juice facility at our AFF flavor facility in Ireland. 
 We have a robust innovation plan for 2024. Beast Unleashed is performing to expectations. We're excited for Nasty Beast Hard Tea as well as the additional alcohol opportunities that Monster Brewing Company presents. Initial acceptance from retailers and consumers has been positive. We are pleased with the rollout of Predator and Fury, our affordable energy drink portfolio in a number of markets internationally, including the launch last month of Predator in a noncarbonated formula in 500 ml PET bottles in selected provinces in China.  We are proceeding with plans for further launches of our affordable energy brands.  
 We are excited about the opportunities that the acquisition of the Bang Energy brand presents to us and believe that the brand will fit well within our broader portfolio of energy drink brands. 
 The company achieved record first quarter net sales of $1.9 billion in the 2024 first quarter, 11.8% higher than net sales of $1.7 billion in the 2023 comparable period and 15.6% higher on a foreign currency adjusted basis, or 12.6% exclusive of our Argentina's impact. 
 I would now like to open the floor to questions about the quarter. Thank you. 
Operator: [Operator Instructions] Our first question comes from Filippo Falorni of Citi. 
Filippo Falorni: I just wanted to ask on the April number you just gave, I know 1 month of data is not indicative of your long-term results. But  just maybe clarify what's in there. Is the 2 extra day included in the number because that alone can get you to about 10 points of growth? And maybe any timing-related impacts that impacted the number compared to like what you just reported in Q4? That would be helpful. 
Unknown Executive: So the 2 extra days in April were obviously included in the numbers that we reported for April sales. The second part of your question, I actually didn't really understand. So maybe you can repeat it. 
Filippo Falorni: Sure. I was just curious, like, is there any impact in terms of shipment timing to the bottlers, considering the trend that we've seen in Q4, it seems a material deceleration. So wondering whether is there any timing impact in that number, in the April number? 
Unknown Executive: Yes. So we've always spoken in our business about the fact that we sell to the bottlers. And in some cases, the bottlers particularly internationally in manufactured products for us, which we purchase from the bottlers and then sell to them as part of the distribution arrangements. And oftentimes, they determine when they want to produce. So we expect them to produce on such and such a day and such and such a month, they may produce in a subsequent month or they may produce earlier. So when we talk about ourselves, remember, there are sales to the bottlers, they are not sales to -- we do some business at direct to customers, but most of our sales are done to the bottlers. 
Operator: Our next question comes from Andrea Teixeira of JPMorgan. 
Andrea Teixeira: I was hoping if you can talk a bit about how we should be thinking of the consumer, in particular in the U.S.? We have been hearing a lot of your peers talk about a softening and how we should be thinking of in the context of pricing that you potentially alluded, some of your competitors have taken pricing. You decided to stay put at this point. Anything you can add and how it relates to aluminum going up on the spot price? 
Unknown Executive: This is a repeated question from you, and thanks for raising it again. As you know, we have a very strong brand. The brand is an affordable luxury. And it's strategic for us to orchestrate when and if we'll take price. So I think we've done a lot of evaluation on what makes sense and what makes sense to the brand, as we said we would. And in principle, we have really worked hard at really coming to a decision that a pricing opportunity is out there. And we -- I'm not saying how much it's going to be. It's going to be later this year, but we will be announcing to bottlers and retailers sometime in the next few months because there's -- as you know, there's a 30- to 60-day -- mainly 60 days for implementation of a price increase, but we expect it to happen in the fourth quarter. 
Operator: The next question comes from Peter Grom of UBS. 
Peter Grom: Rodney and Hilton, I know no changes for some time, but congrats on kind of the new roles to come. I guess I just wanted to ask about the Dutch Auction announced today. Just kind of -- just would love some perspective on the decision process? Why now? Why using debt? Is this a change in terms of how you're thinking about the balance sheet in longer term? Or is this just kind of a short-term dynamic? And lastly, I'm not sure if I missed this, but did you provide any color on timing as it relates to this? 
Rodney Sacks: I think that it's a question of timing. I think that given the recent softness in the market, we believe that it is an opportunistic time to execute an at-scale transaction of this nature. We believe that this structure gives the company the opportunity to repurchase a greater number of shares and do so more quickly than we could under the programs, which we've implemented, as you know, over the -- quarter by quarter, we've continually strategically bought stock back. We think that is a good use of our cash. Obviously, we look at acquisitions from time to time, but we have a lot of excess cash. .
 And if you remember, we did a similar modified Dutch Auction in 2016 that we thought was very successful. It enabled the company to buy back shares, and we moved on. So we think the timing is right. We think that we'll probably implement it shortly in the next week or so. We'll come out with the documentation and the formal announcement. So it will be in this quarter. We also want to make the point that the tender offer is going to be in addition to our existing plans, which will remain in place. And that will also continue to give us opportunity to, again, to continue to buy additional shares as and when opportunistically, we think we should. 
Operator: The next question comes from Chris Carey of Wells Fargo Securities. 
Christopher Carey: Just a follow-up on the pricing announcement in Q4. Just is that on the entire U.S. portfolio? Is that the plan? And then just the question would be, I think this is the best international gross margin in several years. And so is there anything structurally occurring in your international margin structure? Or is this just maybe just easing commodities, easing import, cost easing. So basic question, is this just more cyclical in commodities? Or is there something else going on within your international gross margins? 
Unknown Executive: So referring to your first question. And you asked a question about gross margins and we -- and if you look at this quarter, we had a pickup, obviously, in international margins which we've been working on for some time, particularly in EMEA. And we also had a pickup in U.S. margins. So we've been working on improving margins across the board. You'll remember that I spoke in the first -- in the fourth quarter, when we had our final year results, and I said that our gross margin then had a few nonrecurring items in basically true-ups and rebate programs that were recognized in that fourth quarter. And I said that on an ongoing basis, on a stand-alone basis, we expected margins to be at the about the 53.5% level. Well, we did better than that. And it's something we've been working on and we'll continue to work on in trying to improve gross margins. 
Operator: Our next question comes from Bonnie Herzog of Goldman Sachs. 
Bonnie Herzog: Congratulations to you both, I guess, pending Rodney's decision. I had a question on your U.S. sales growth in the quarter, which was, I guess, a decent step down. It sounds like your business is maybe slowing month-to-month during the quarter and then a little bit in April. So could you touch on what's driving the slowdown and really for the entire category. I guess I'm also curious about this in light of your robust innovation pipeline and I think shelf-space gains. And then you mentioned that you continue to grow your sales in non-Nielsen measured channels. So first, could you just maybe clarify how your sales are performing on your end in the measured channels. And then could you give us a sense of what percentage of your business is now in nonmeasured channels, I guess, in the U.S.? 
Unknown Executive: So Bonnie, we don't report what percentage of our sales is done in the nonmeasured channels. So it's hard for me to give an answer to that since we don't report it, but it's something we can consider doing in the future. But our nonmeasured channels remain strong. And as you know, we have a bunch of really important customers in that category, including FSOP, Foodservice On-Premise. We have one of the big club store chains is in that nonmeasured channel. We have Home Depot, Lowe's, Amazon. So we do have a bunch of customers that operate in those nonmeasured channels. And you can see the discrepancy between the Nielsen numbers and what we report as a company because, a, the Nielsen numbers are sales to consumers, we report on sales to bottlers and our direct customers, and we also include sales to our nonmeasured channels. 
 And then I just actually wanted to get back to a previous question where it was asked whether that price increase that we referred to would be across the whole portfolio. And when we look at the portfolio in the U.S. We have a number of different product lines. But the reference to the price increase will be on the main Monster Energy line, and possibly some of the others, but that also has not been clarified as of yet. 
Operator: Our next question comes from Kaumil Gajrawala of Jefferies. 
Kaumil Gajrawala: Can I try maybe following up on Bonnie's question a little bit more, at least from the data and stuff that we're seeing, it sounds like there is maybe more of a slowdown than perhaps what  you're seeing or how you're feeling about the category itself. And just if you could dig into, is that accurate? And if so, what do you think might be happening? 
Rodney Sacks: First talk a little bit -- there clearly has been a slight slowdown. I mean I think that you guys have followed a lot of the consumer product companies both beverage and non-beverage. And I think that there is -- including a lot of the convenience chains we report as well. And I think there has been a report generally across the board, there is some slowdown. I think you've got to take into account that last year, there was a lot of acceleration. There were increased sales, so you're looking at it on a 2-year basis as well. But there is some softness. We think that inflation and higher gas prices are having an effect on the number of consumers that are going into the stores and traveling. 
 And so I think that is something I think we're sort of industry-wide are experiencing. We think that things will pick up. We think that summer is coming, but that has been something you've noticed and you guys see that. You read the Nielsen's as we do, but we also look to other channels to look at increased sales. And through the other channel business, we have continued to have healthy sales. And obviously, we are introducing a lot of innovation that's getting listings now. So we are looking positive to how that will implement our sales going forward. 
Operator: The next question comes from Michael Lavery of Piper Sandler. 
Michael Lavery: Can you just give us an update on Bang and just some of your thinking on how it's progressing and specifically maybe some of the marketing activation or distribution momentum and what we might expect for plans for the rest of the year? 
Unknown Executive: So if you look at Bang and look at the latest 4 weeks, you'll see that sales are starting to accelerate. And mainly because we've been able to get listings as we move through to this season of listings in the chains. As you know, the brand was discontinued for a number of reasons last year. And it's been a real impetus to get the brand up and running. We believe it has, and we believe it's moving positively. The marketing for the brand is -- has really been a low ebb and it's gaining momentum as we move into the summer. We're in the process of accelerating, and I'm going to be careful what I say, but a large influencer platform to help move and accelerate the brand. So the marketing is underway. It's just taking a little bit of time to get it up and moving. As I said earlier -- or I said in previous calls, it's positioned as a lifestyle brand. And we believe that too -- we have to invest in the market, we accept that and to achieve the positioning that we're looking for. 
Operator: The next question comes from Peter Galbo from Bank of America. 
Peter Galbo: Maybe I just actually wanted to ask not on the gross margin line, but on some of the operating expense lines. I mean there's been quite a sizable build, I think, in some of those numbers and certainly ahead of, I think, what the Street had. I'm just curious, is there any timing shift there? Or is there any build in terms of the, I don't know, distribution expense ahead of either shelf resets or Bang rolling out more significantly? Just kind of want to understand how you're thinking about that going forward. 
Unknown Executive: Well, on the one hand, we took a conscious decision to build up inventories. So in doing so, we really had this objective of satisfying demand, which we really did not do very well at in previous years. So we have significant inventories now, and we -- our in-stock rates are climbing in the 95-plus percent levels. So we're able to service much better, but obviously, there's a cost to it. And freight, as you know, has gone up. And -- so that's one factor. Warehousing has gone up. So that's one factor in the -- in our operating expenses. There's nothing that's really that's tied to any particular period. These are all expenses that were incurred within the quarter and they reported as being in the quarter. 
 Sponsorships are up, payroll is up. So there's a bunch of -- and you'll see it in -- more effectively in the Q, the number of cost items that are up. And as before, we do maintain a huge objective to get costs down. So these increases do not get unnoticed. But unfortunately, they're part of doing business in the world in which we're living, and we have competitors. And we have to negotiate for the best marketing dollars that we can. 
Rodney Sacks: The only thing I would add is that when you look at the costs, and we've had increases in sponsorship and marketing and social media, those probably are the biggest cost increases. But we are diverting or focusing a little more on the social media platforms because of the full array of our brands that are more aligned to social media consumers. Those are going to take effect and we have these programs being put in place, and we're obviously expensing those costs as we incur. But I think some of the benefits will start -- we're hoping we'll start seeing them in the second and third quarter as we go into summer, and those programs become more, more active. 
Operator: Our next question comes from Mark Astrachan of Stifel. 
Mark Astrachan: I wanted to ask who's going to be reading all of the country market share numbers, Rodney, when you transition to the full Chairman role, just kidding. 
Unknown Executive: Need Rodney to do that. 
Mark Astrachan: Seriously, I wanted to ask about international gross margins. Just curious how you think about the ability to potentially improve those in negotiating specifically better economics with the Coke system is Monster's importance to the system and to their revenue and profitability increases. And I guess maybe thinking about it broadly, right, a lot of these agreements were struck 9 years ago. So 10-year anniversary next year. I know some are up for renewal then. What about on a go-forward basis? And sort of how do you think about those discussions with the system? 
Unknown Executive: Yes, Mark, thanks for that question. I want to put you in that position. It's dealing with the bottlers and you've got a lot of experience, I know in talking to them, but that's really a tough egg to crack. So we have to do it in different ways. We've got to look at commodities. We have to look at it in terms of pricing. And we've got to look at it in a very judicious manner with the bottling community. We have a great business going and we've got to be very careful not to jeopardize the motivation behind the brands. 
Operator: The next question comes from Peter Grom of UBS. 
Peter Grom: I guess just on the price increase, just the question I've gotten a few times. Is there anything you can share in terms of the magnitude of the U.S. fourth quarter price increase? 
Unknown Executive: Peter, it's really difficult because we've come to an assessment, and before we go out to our bottlers and our retailers, it would be -- it would not be appropriate for me to talk about that at this stage. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Sacks for any closing remarks. 
Rodney Sacks: Thanks. Thank you. On behalf of Monster, I'd like to thank everyone for their continued interest in the company. We continue to believe in the company and our growth strategy and remain committed to continue to innovate, to develop and differentiate our brands and to expand the company both at home and abroad, and in particular, capitalizing on our relationship with the Coca-Cola Bottling System. We believe that we are well positioned in the beverage industry and continue to be optimistic about the future of the company. We hope that you remain safe and healthy. Thank you very much for your attendance. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.